Begona Morenes: Good morning, everybody, and welcome to Banco Santander's Conference Call to discuss our Financial Results for the First Half of 2023. Just as a reminder, both the results report and presentation we will be following today are available to you on our website. I am joined here today by our CEO, Mr. Hector Grisi; and our CFO, Mr. Jose Garcia-Cantera. Following their presentations, we will open the floor for any and all questions you may have in the Q&A session. [Operator Instructions] With this, I will hand over to Mr. Grisi. Hector, the floor is yours.
Hector Grisi: Thank you, Begona. Good morning everyone, and thank you for joining us. Let me just share with you what we will focus on today. First, I will talk about our half one results on the context of how we are progressing with the strategy we outlined at our Investor Day. Jose will then review our financial performance in greater detail. And then, I'll conclude with a few closing remarks.  Despite the challenges the financial system experienced at the beginning of the year, Q2 was another strong quarter for Santander demonstrating the strength and resilience of our strategy and unique business model even in times of market volatility.  We delivered record profit of €2.7 billion, an increase of 14% compared with Q2 in ‘22, thus plus 17% in constant euros.  In the first half of ‘23, profit was €5.2 billion, up 7% supported by robust customer revenue growth. Revenue increased double-digits year-on-year, supported by all regions and global businesses. Global scale and network businesses are contributing around 40% of total Group revenue. Our number of customers grew by nine million year-on-year taking the total to 164 million and loans increased by 1% and deposits by 5%.  The Group continues progressing towards a simpler and more integrated model through One Transformation. The program that is accelerating our structural model change to drive efficiency improvement, and growth in profitability.  As a result, our efficiency ratio improved one point-three percentage points year-on-year to 44.2% and our net operating income grew double-digits. Our return on tangible equity RoTE rose 80 basis points year-on-year to 14.5, while our earnings per shares improved 13% year-on-year supported by greater profit and share buybacks.  At the same time, our strong balance sheet with solid and sound capital ratio, liquidity at comfortable levels and robust credit quality contributed to solid profitable growth, value creation, and shareholder remuneration. These results allow us to deliver value creation in terms of TNAVps plus EPS year-on-year of 11%, of which represents an increase of more than €6 billion in the first six months of the year.  Moving on to the income statement. Firstly, remember that as we usually do, we are presenting growth rates, both in current euros and constant euros. This quarter, there was no material difference between them. As I have just mentioned, profit increase in the first half, supported by, first of all, a strong line performance with all the regions and global businesses growing; cost in line with our expectations growing 1% point below the rate of inflation; double-digit growth in net operating income to approximately €16 billion, which demonstrates the strength of our results; and low loss provisions normalizing land with our expectations.  These Trends resulted in our highest quarterly profit on record 4% higher than in Q1, even after the following impacts, net of taxes recorded in Q2. The SRF contribution of more than €200 million and additional Swiss mortgage provisions in Poland of €140 million and one-offs in Brazil of €137 million. Jose will go into more detail on all of these points later on.  This was a great first half, that makes us confident that we will deliver on our 2023 targets. Good business dynamics are translating into double-digit revenue, growth; our efficiency ratio improved as a result of good cost control and revenue trends; our cost of risk remains contained in line with our target of keeping it below 1.2% at year end.  CET1 was 12.2 after profitably growing our businesses organically, and at a comfortable levels allowing us to accrue funds to meet our shareholders’ remuneration targets of a 50% payout. Our RoTE also grew year-on-year to 14.5 on track to reach our target at would already be close to 15% if we don't analyze extraordinary banking tax on revenue earned in Spain.  As we announced at our Investor Day we have entered into a new phase of value creation that will help us grow TNAVps per share plus EPS at a double-digit during the year – or through the cycle.  I like to spend a couple of minutes updating you on the progress of our transformation plan, now that we are six months down the road from our Investor Day. We are transforming the Bank in the right way because we're structurally changing our model to improve both cost and revenue. We are making great progress in the implementation of One Transformation, creating a common operating model and technology for our retail business across our entire footprint.  To better serve our customers and to improve efficiency and increase the size and profitability of our customer base we are delivering across the three, pillars of One Transformation. In simplification, we already have reduced 5% our number of products, nearly 400 fewer products in 2023. We are progressing in our digital self-service model, increasing the availability of products and services in our digital channels and reducing the use of our contact center by 17% just alone in the first quarter of ’23, compared with the same period last year.  We are digitalizing the onboarding process and to enter in Mexico. This initial pilot has resulted in a 36% growth in digital accounts per month, compared to those in 2022. And we have already captured around €70 million in savings so far in the U.S. from transformation and simplification initiatives. As you can see on this slide, the initial efficiencies for One Transformation, and the impact of our good sprint management in a context of higher rates, higher interest rates which our CFO will cover later in depth, have already contributed 85 basis points in efficiency improvements. Our Global and network business keep contributing to the Group's profitability and have already delivered another 43 basis points.  Multi Latinas and multi Europeans our initiatives to better serve our Multinational corporates and SMEs through regional coverage model are growing at a very high rates with revenue increasing by more than 70% year-to-date. In asset management, we have progressed to enter the alternative business is starting to serve open market and institutional segment and has reached more than €2 billion commitments already.  In payments, we have deployed that in Portugal and Argentina in the first half and we expect to launching latest in Chile, in the second half.  In Auto, we're increasing managing OEMs and retail relationships globally, expanding our partnerships in Europe to LATAM and the U.S. We have recently onboarded new partners in the US, leverage the existing agreements in Europe, which are expected to materialize in around €4 billion of new business per year. We have also deployed a new parent regional leasing platform in two markets and more countries will be added throughout ‘23 and ‘24.  Finally, our global technology capabilities have already resulted in 36 basis points improvement in the efficiency ratio. Our Global approach to technology has allowed us to capture €80 million in savings this year, mainly driven by One Transformation and efficiencies from the recent development and deployment of Gravity in two countries, which has contributed with €31 million in savings in the first half. A new global agreement with vendors, which represent around €40 million in cost reduction year-to-date.  The actions that we are beginning to carry out as a part of One Transformation, which we are expanding across the Group are starting to be reflected on cost and on operational efficiencies. As you can see on this slide, simplification has already driven significant improvements in our cost and revenue per active customer ratios.  The solid progress we are making with the process digitalization and automation to capture efficiencies enables us to spend less time on operations in branches, and turn the branch, network into a powerful sales and advisory channel.  Portugal has already taken out most of the operational activities from the branches freeing up branch employees, so that they can spend more time supporting customers and commercial activities. We're extrapolating this to other of our banks. In only six months through One Transformation, we have already reduced the number of operational FTEs per million customers by 3%. We are already deploying global tech platforms to improve customer experience, leverage economies of scale, and extend best practices.  Open Digital Services, as we call it ODS, our cutting-edge front-end platform allows to deliver a best-in-class omni-channel experience to our customers. At the same time, that Gravity, our award-winning core banking platform drives significant efficiencies versus mainframe technology. We have integrated both in the U.S., so we will operate it on an end-to-end cloud-based retail technology stack core and omni-channel, which is already tested and will result in significant improvements in service quality and customer experience.  Our global and network businesses continue to contribute to this new phase of value creation. In CIB we continue growing strongly after record performance in 2022, beating the market. Our global presence has allowed us to grow at 24% year-on-year, well above the average of annual growth target of 10% for the period ‘20 to ‘25.  Because, first of all, we can provide a One-Stop shop service to our clients across all geographies, thereby capturing cross-border flows and because we bring CIB products and services to all wealth, retail and commercial clients across a group and vice-versa. As a result, revenue related to these two concepts which we call network revenue grew 27% year-on-year to €2 billion. Wealth management and insurance grew 25% percent year-on-year, well above our target and this has been boosted by the finance benefits obtained from the Santander network effect. A fundamental part of our value proposition in private banking is how unique combination of local presence and local reach, a global reach.  Our customers can move and transact easily from one country to another and that's the reason why customers have €50 billion in assets under management book abroad, 10% higher than one year ago.  Our payments business is also growing very strongly. Two years ago, we’ve began to move our payments business on to scale global platforms. And, as of today, our payments platform already manages a significant part of all payments in the Eurozone and we are progressing in another key countries such as Brazil, Mexico, and the UK. We are in the process of expanding our cards platform across the Group, delivering real-time digital processing capabilities to our banks, accelerating our business growth, as well as generating operational synergies of around €100 million per year during the next two years alone.  First delivery of the platform will be live in Brazil by the second half or 2023. In auto we continue to prioritize profitability, our market share growth in a context of rising interest rates.  Our transformation plan, which is making us more - much more efficient and increasing contribution of our global and network businesses is helping us reach our 2025 profitability targets across all regions and businesses. As I mentioned earlier, the Group's RoTE rose 80 basis points year-on-year to 14.5% and would be around 15% if we didn't analyze the extraordinary banking tax in Spain, which is in line with the Group's targets for 2022 - sorry ‘23 and ‘25.  Jose will now go in more detail through the Group’s first half performance. Please Jose. 
Jose Garcia-Cantera : Thank you, Hector, and good morning, everyone. [Audio Gap] and Latin America driven by growth in volumes and fees. Digital Consumer Bank benefited from asset repricing actions and gains on financial transactions due to FX hedges. We also saw a strong performance across businesses. The only exception was auto, the result of lower leasing income in the US, which as in previous quarters, was affected by an increase in the share of end of leased vehicles, repurchase at the dealership. Revenue at the corporate center also improved up nearly €400 million due to higher liquidity buffer remuneration and a lower impact from FX hedging, which negatively affected revenue last year. Most of our revenue growth came from NII, which continued its upward trend increasing 6% in the quarter alone, driven in particular by Europe. We see upside potential for further growth in the coming quarters.  First half 2023 was 15% higher year-on-year in constant euros with positive sensitivity to raising rates mainly in Europe and Mexico and volume growth in auto, North America and South America, which more than offset negative in duration sensitivity in Brazil, Chile and auto.  In terms of profitability, we have improved our margins every quarter since the first quarter of 2021. We continue to actively manage our credit spreads to make the most of the higher interest rate environment. Gains from credit yields outweighed higher funding costs. Thanks to our disciplined deposit remuneration strategy adapted to each country's specific needs.  In Europe, we are strictly managing deposit costs, especially in Spain and Portugal where there is excess liquidity in the system and much lower credit amount. The UK has a more competitive environment in line with our expectations. In LATAM, deposit rates are more directly linked to market interest rates, which implies negative sensitivity and will benefit margins when rates start to decline over the next few months. Finally, in the U.S., deposit betas are higher due to the heightened competition following the collapse of Silicon Valley Bank. All-in-all, net interest income sensitivity to interest rates has resulted on €500 million above the assumptions that we shared during our Investor Day. Therefore, we are well on track to meet our double-digit NII growth guidance for 2023.  Turning now to fees, in an environment of low fee growth in general as a result of subpar loan demand, weaker activity, consumer activity and higher margins, our net fee income grew at 4% in the quarter compared with the same quarter last year and 5% in the first half year-on-year. CIB and PagoNxt are leading the way in terms of growth. CIB is increasing its share of leading roles and mandates and PagoNxt continued to expand total payment volumes, which rose 25% year-on-year and transactions 32%.  We also had a very good performance for cards with turnover increasing 9% year-on-year with fees growing 20%. Retail banking also continued to grow well, primarily driven by an increase in customers and transactionality . Wealth management and insurance grew less as customers moved to lower risk, fixed income products with lower fees and margins.  However, we saw volume improvements in both, private banking, net new money of €6.5 billion and Santander Asset Management over €3 billion net sales. Auto performance year-on-year was affected by the new insurance regulation in Germany in the first quarter but recovered significantly in the second quarter. In terms, of course, our transformation efforts that Hector took you through earlier are paying off despite initial investments cost in real terms are growing below the rate of inflation across most of our footprint reflecting the savings we are beginning to generate on our strict control.  This in turn is reflected in efficiency improvements led by Europe which improved seven percentage points, thanks to strong revenue gains together with a 2% fall in costs in real terms. As a result, Group efficiencies already at the bottom end of our target range where we expected to remain for the rest of the year.  Credit quality remains robust, across our footprint. The non-performing loan ratio remains stable in the context of an expected soft lending and a strong labor markets as unemployment is a key driver of credit quality. Of note, were the positive trends in Brazil driven by the more selective lending policies that we introduced a year and a half ago. We said in the fourth quarter of last year that we believe the Brazil NPL ratio had already peaked, and trends so far this year support that view having improved almost 60 basis points year-to-date.  In terms of cost of risk, we remain comfortably on track to meet our 2023 target to remain below 1.2%. Spain continues to perform well, with a 12-month cost of risk, down 16 basis points year-on-year, supported by the quality of the long book and improving macro conditions. Normalization in the US continues, but is more resilient than anticipated. Brazil remains elevated due to the unsecured individual borrowers portfolio, but we are seeing signs that cost of risk has stabilized. Brazil's 12-month cost of risk at the end of June was 4.74%, but if we annualize the first six months, that improved to 4.5%.  Mexico is increasing from low levels, mainly due to a changing mix towards unsecured loans which require more provisions upfront and obviously is more profitable. Other units, such as the UK, Portugal, and the digital consumer bank are rising, but from a very low base and should remain below all in line with through the cycle averages.  Moving on to our balance sheet structure. As we have discussed in previous presentations, our credit portfolio is well diversified by segment, product, and country. Moreover, our balance sheet is low-risk. The portfolio is highly secured with quality collateral and has low average loan to values. Loan growth year-on-year, was flat in constant Euros as growth in auto and consumer was offset by falls in CIB, mainly in Spain from very high levels in 2022, mortgages driven by early repayments in Europe and slowing demand from corporate, also in Europe.  We saw positive dynamics in North America, South America, and DCB. On the other hand, deposits continue to grow well, up 4% year-on-year following a €3 billion increase in the second quarter in constant Euros, reflecting new customer capture with more than offset mortgage prepayments. We saw growth across the Bank concentrated mainly in time deposits as customers seek higher rates.  Our deposit base is diversified and highly stable. Using LCR criteria 75% of our deposits are transactional, which are stickier and a high proportion of all deposits from individuals are covered by deposit guarantee schemes. We have not seen any unusual movements in deposits in the year-to-date following market turmoil, particularly in the U.S.  In fact, deposits in the U.S. grew in the quarter and remained flattish year-to-date which implies that we are gaining market share in deposits and with an average cost which was well below our main competitors. Mutual funds have begun to recover, up 4% year-on-year following a year of instability in 2022.  To close, let me cover capital. Our fully low risk capital ratio remains at a comfortable level of 12.2% backed by strong organic capital generation, which was again 10 basis points, net of dividend accrual in the quarter. We accounted for the payout of the minority shareholders in Mexico, which costs four basis points in terms of capital.  We also had a series of other small positives and negatives this quarter that almost offset each other. We continue to focus on profitable growth opportunities, which is reflected in a front book RoRWA of 2.9% up from 2.5% in the first half of 2022, which is equivalent to a return on tangible equity in excess of 15% - sorry, in excess of the current Group return on tangible equity, which will support profitability going forward.  Additionally, we continue to increase balance sheet mobilization and the percentage of risk-weighted assets with positive economic value added progressing well, towards our Investor Day target of 85 in 2025. This increased profitability will help us continue to build capital over the next few years and we are confident our capital ratio will remain above 12% even after taking into account, the final implementation of BASEL III on January 1st 2025.  Let me turn it back to Hector for his concluding remarks. Thank you. 
Hector Grisi : Thank you, Jose. In summary, Q2 of ‘23 was another strong quarter supported by customer growth, double-digit revenue increase, and also backed by strong performance by all the regions and businesses. We are accelerating the structural change to a simpler and more integrated model through One Transformation spreading the initiative all across the Group, which is driving efficiency improvement, and also profitable growth.  A rock solid balance sheet and robust credit quality are contributing to growth, calue creation and shareholder remuneration. In summary, we have a very strong first half of the year and we are confident that we will achieve our 2023 targets and remunerate our shareholders in line with our 50% payout policy supported by our global and network businesses while we continue with our structural model transformation.  We see upside potential for further net interest income growth in the coming quarters, as tailwinds in Europe and Mexico, are expected to remain and inflation and interest rates in our largest Latin American - Latin American countries seem to have picked or nearly picked resulting in a positive outlook for margins in the next 6 to 9 months.  Cost of risk is normalizing in line with our expectation. In a context of an expected soft landing of the economy and a strong labor markets, we continue to see resilient customer and corporate behavior in most of the geographies. Group RoTE has reached 14.5% in the first half and we expect to close above 15% at the end of the year.  All in all, our TNAV plus cash dividend is growing at a double-digit, well on track with our target of average growth through the cycle.  And now, we will be happy to take any of your questions. Thank you. 
Operator: [Operator Instructions]  We already have the first question from Carlos Peixoto from CaixaBank BPI. Please go ahead. 
Carlos Peixoto : Hi, good morning. Thank you for taking my call - my question. The first question would actually be on Brazil. Margin stabilized quarter-on-quarter, it’s still a bit under pressure year-on-year. I was wondering what evolution you expect for the rest of the year? And also on cost of risk what's the Outlook there? Then the second question would actually be on capital. So basically the capital generation in this quarter was only three basis points a bit below the runrate you have discussed in previous quarters. I reckon that this partially has to do with the Mexico minorities incorporation, but I was wondering how do you see this evolving throughout the rest of the year? And also, what is behind the increase in RWAs in this quarter? Thank you very much. 
Hector Grisi : Thank you, Carlpos. What I'll do is, I'll – last - the first question on. Brazil we will give you a comment on capital and then Jose will tell you a little bit about what's going on with increasing RWA, okay? In terms of the Brazil margin quarter-on-quarter, as we say, basically is explained by the following: our launch since 2021, we have become much more conservative and growth – grown volumes very selectively changing the loan mix to lower risk. Okay? So we mainly get out - we're out of credit cards. Went on to Consignado, auto loans and mortgages.  On deposits also the fast increase in rates has meant a rapid rise in the cost of deposits, okay, as well as a change of the mix on the deposits. Rates are staying higher for longer has prevented the cost of deposit from coming down impacting NII. Remember that in Brazil, we have negative sensitivity to rates, okay? So Brazilian NIIs in the second quarter of ‘23 is already flat. Okay?  As we set and Jose was very precise on that the worst since behind us and we are already seeing a reduction on the average cost of deposits and we also see an improved customer spread. Okay? So we expect NII in the second half of ‘23 to be higher than the first half of the year leading to a flat NII in the year with a substantial improvement in ‘24, okay?  In terms of the cost of risk, not only the macro outlook is improving, but since ‘21, I just – I explained, we've been very selective in the approach of the new lending extension and focusing to more secure and higher rate customers as I explained, okay? This is showing good results and we believe the worst, as I said, it repeatedly is worst - sorry the worst is behind now.  Cost of risk in the second quarter is already improving, versus the first quarter and the vintages are showing really good performance as we have seen. So we don't expect cost of risk that will deteriorate in Brazil in ‘23 versus ‘22, excluding the one-off that which implies staying close to around 4.6%, okay? And then, to be on capital to be very precise, we expect to generate at least 10 basis points of organical capital on average per quarter with the current shareholder remuneration policy that we put in place.  As a result, we will be on track to meet our target to be above 12% even when the final implementation of BASEL III comes into effect on January 1st on ‘25, okay? And with that, I don't know, Jose, you can comment on RWAs please. 
Jose Garcia-Cantera: Yes. Thank you. So, morning, Carlos. You are right. Loan growth was zero, but risk-weighted assets grew more or less than 2%. Half of that growth is due to FX as we consolidate the Latin America, basically, the peso and the Brazilian based assets in to the Group. Of the other half, half of the other half, so a substantial amount corresponds to a stock finance.  And this is due to the recovery of the new auto business in Europe. This will eventually translate into auto loans. So, this is obviously short term that will eventually lead a higher profitability going forward. When we look at the outlook, as Hector said, we don't expect any significant regulatory or supervisory capital impacts in the second half of the year.  We see no inorganic charges in the second half of the year. Obviously, it looks like the available for sale portfolio valuation also will stay relatively stable. We see improving profitability, as we have mentioned, particularly driven by higher NII in the second half. An increased weighted assets should be probably under control.  So net-net, we see a stronger capital - organic capital generation in the next couple of quarters again, leading to a capital that will remain well above 12% every quarter and building up sufficient capital to be above 12%, post BASEL III.
Begona Morenes : Thank you Hector, and Jose can I have the next question, please? 
Operator: Next question from Alvaro Serrano from Morgan Stanley. Please go ahead. 
Alvaro Serrano: Hi, good morning. Thanks for taking my questions. A couple of questions please from my side on US and Spain. US has obviously done much better in provisions. I know you've touched on it a little bit, maybe you can give a bit more detail as to why the provision was so low in the quarter? Is its collateral? Is it default rates? And when you think about the rest of the year maybe you can update us about the guidance. Would you expect in costs of risk for the full year. I think you gave us some color in Q1, maybe an updated view on the moving parts there.  And second question on Spain. Deposit is much more stable this quarter, previous quarter. I wonder if you can give - again a bit more color on the deposit migration and remuneration and, and when do you, what would you expect NII to peak in Spain, I am extrapolating, Spain, Portugal, which I assume it's the same dynamics. Thank you. 
Hector Grisi: Thank you, Alvaro. Okay, let me give you our outlook in the US, okay? And I explained it – it’s basically the same dynamic I explained in the first quarter, okay? Credit provision, as you know decreased as credit quality is remaining robust and credit net charge-offs actually, what we called realized losses show better than anticipated performance.  And this is basically on the back, use prices continue to be strong, okay, as I explained and declining at slower pace that we previously anticipated. The changing out to loan portfolio mixed of our subprime, do you remember that I told you that before 2018, we had a lot more subprime than Prime and the change on the mix has helped.  Also, we have robust and better than expected labor market in the US, okay, which is sustaining that, okay? And out of customers that are delinquent exactly as I was explaining in the first quarter for more than 90 days are rolling into charge of status at historical low levels, okay? Normally, they were above 90%, 95%. Last quarter they were around 59%, this quarter around 67% percent, okay?  So it's still much better than we expect and much better than it was actually happening pre-COVID, okay? And in 2023, we expect cost or risk to continue on the normalization at around 2%. And after two years of artificially low figures given COVID et cetera, as I was saying, normalized levels should be below pre-pandemic, cost, or risk at around - you remember, pre-pandemic was around, 285, it’s never going to get there, okay? Because of the change of mix and what I was explaining, okay? In terms of the Spain, okay?  In Spain, the deposits, I mean continued to be stable, okay, I at around, we have around €299 billion, okay? We have excess liquidity in Santander Spain, LTVs around 78% as is the case for the whole Spanish system that is around 80%. Quarterly the claim is most linked to CIB deposits, flat in retail in the quarter despite the early repayments of mortgages, okay. 60% compared to the same period of 2022 and increased volume of deposits moving off-balance sheet products.  Also, what we see between the first half of ’23 versus the first half of ‘22 is plus 0.9% okay? So we have a different change of the mix with time deposits going up at around 61% up year-on-year, while demand deposits are going down around 5% on the back of the higher rates, driven by the growth of CIB, which allows us to maintain also - and maintain a stable net liquidity position, okay?  In terms of - what I was saying NII, we don't expect to peak yet. I mean we have still revisions and I will have horses playing in detail exactly how we’ll see an eye evolution in the Spain. 
Jose Garcia-Cantera: Good morning, Alvaro. Let me talk about all the Corporate Center, because Santander SA more than and Spain because this is going to give you a better view of our Euro sensitivity to rates in Spain. So we have assets of €330 billion, 60% floating 40% fixed. This fixed includes the ALCO, which is €27 billion that we've been buying recently with an average duration of six years on an interest rate of over 3%.  We also have intra-group transactions, et cetera, money markets that are fixed, but these are very short term. So they will reprice as short term ULIBOR actually goes up. Of the floating €200 billion, €65 billion. will reprice or reprices with 12-month ULIBOR. We expect the - if we use today’s ULIBOR, compared with the average of the first half, so let’s assume that the ULIBOR remains flat in the first half of next year, we have at least 50 basis points pick up in the repricing of this part of the portfolio next year.  And then we have 60 – sorry, €30 billion with reprices with a six months €40 billion with a three months and €65 billion with one month. So, we would still expect significant repricing upwards in the first half of next year, as interest rates in Europe may go up once or twice, but as they stabilize, we will still have significant repricing of a big chunk of the portfolio in the first half of next year.  So obviously, the asset yields are expected still to expand well into 2024. Obviously, margins will depend on the cost of deposits but as Hector said, we are not seeing any pressures today to increase their remuneration of retail deposits. We are already paying almost ULIBOR for CIB deposits, institutional deposits, but we don't see any pressures on the retail side of deposits, which means that probably the peak in net interest margins will not happen until well into 2024 in the Eurozone. 
Begona Morenes : Thank you, Alvaros for the questions and Jose and Hector for the answers. Can we have the next question? 
Operator: The next question is from Francisco Riquel from Alantra. Please go ahead. 
Francisco Riquel: Wanted to ask about NII in the UK and in the U.S., if you can please update your guidance in the UK I see lending is week following a local mortgage market is declining, asset spreads are low, the deposit betas are still relatively low. How do you see all these dynamics from going forward and the NII? And also in the US, you are gaining market share, but are you gaining new clients or do you paying out for deposits. How do you see the beta compared to the local peers and - in absolute terms going forward and then NII there in the US? Thank you. 
Hector Grisi: Thank you, Francisco. Okay. Let me give you the details, okay? In the - let's talk about first about the UK. NII, it was up double-digit in the first half of ‘23, okay? It was driven mainly by higher rates on the strong focus on managing the spreads and profitability. Although the UK tends to be more competitive than other Europeans markets as you know, okay?  So we're putting profitability ahead of market share, okay? And we have a lower risk appetite, but we're expecting good performance to continue leading to and NIM expansion, okay? So, we expect it to stabilize towards the second half. Okay, 2023 with a high-single-digit growth on higher rates. And despite the lower volumes that we have because of what I just explained about profitability, okay?  In the second quarter, NII was flattish. Okay? Higher yields on loans did not offset the higher cost of retail funding and the slowdown in new originations, okay? In terms of the betas, Jose will tell you afterwards that I tell you about what's going on in the U.S.  In terms of the U.S., overall, as you have seen has one better than expected given the change of mix towards prime, okay as I explained in detail, lower yield, but also better risk profile and the lower grade provisioning is helping us, okay? NII is flattish in the quarter and year-on-year on funding pressures on the wholesale and retail as you know, a lot of this is funded by wholesale, as well and a common trend across the sector which has been partially offset by higher yields that we have.  Santander, U.S. betas are above the what we expected but lower than the average of our peers. Just to give you exactly what's going on. And we expect NII to be down mid-single-digit on lower originations and also the higher funding pressure again in line with the peers.  However, given the strong behavior that we have on the labor market and seeing the performance on the first half, the US NII could do better than we expect, okay? U.S. NII is not the only one that has a cost of risk and profitability, are also better than expected in the country, okay? So Jose, I don't know, if you can comment on the betas please. 
Jose Garcia-Cantera : Yes, betas in the UK, when we look at the cost of deposits today relative to the level of rates today, that's around slightly below 30% is increasing slightly in the quarter three percentage points. We still think that that will continue. So the UK is a market with less excess liquidity than Spain for instance. So we would expect as Hector said, margins probably - they were stable in the second quarter relative to the first and we would expect them to remain more or less flattish in the third and probably slightly going down from there.  In the US, as Hector said, we kept our deposits flat, paying less than our regional bank competitors. The beta in the U.S. is 36.8%, up two percentage points quarter-on-quarter. So after the spike that we saw in February, March, the betas in the US have remained very stable. And we are actually increasing deposit market share at a lower cost than our competitors. 
Begona Morenes: Thank you, Paco. Can we have the next question, please? 
Operator: Next question from Ignacio Ulargui from BNP Paribas Exane. Please go ahead. 
Ignacio Ulargui: Thanks very much for taking my questions. I have two questions. One is on the Spanish loan book. You could update a bit on the trends that we have seen in the quarter. Year-on-year rate you see an 8% decline. If you could elaborate a bit on, what are the dynamics there and what we should expect going forward? And the second question is a bit at a Group level? If I just look to the first half cost of case, 100 around 106 basis points, you are speaking to the guidance below 120. And is there any region besides the US whether we could see some deterioration in the second half that makes you to keep that conservative guidance, which would imply around – a rate of around 135 basis points, 140 basis points in the second half to make the 120? Thank you. 
Hector Grisi: Thank you, Ignacio. Let me tell you a little bit about what's the dynamics on the Spanish loan book and then, Jose we'll talk about your second question, okay? In the Spanish loan book, the dynamic that we have seen is quite clear, okay? We have seen low demand of credit, okay, which is impacting us a little bit, mainly also we have seen an increase on the prepayment mainly on the mortgages, okay?  Because of the increased rates, remember that a lot of a big percentage of our portfolio is some variable rates and floating rate. So in that sense, that’s the dynamic that we have seen. And also we have seen due to the increased rates, the corporates and the SMEs being more cautious in new credit demand, okay? And the dynamics, we lived throughout the year continuing that way, let's see what happens at the beginning of the year. And also, if we can see more confidence a little bit on investment, okay? But now we see the dynamics in that way.  Please Jose, on the second one. 
Jose Garcia-Cantera : Morning, Ignacio. Cost of risk, well, we see cost of risk normalizing in the US as we discussed. Also in Mexico, where we are seeing the normalization of the cost of risk as we change the business, the business mix. In auto, it will very much depend on the amount of loans that we are able to sell, but it should remain stable in the second half of the year. So, we feel very comfortable that we will beat our 1.2% guidance for the end of the year. We expect it to be better than the 1.2% that we gave as a guidance. 
Begona Morenes : Thank you, Ignacio. Can we have the next question, please? 
Operator: Next question from Sofie Peterzens from JPMorgan. Please go ahead. 
Sofie Peterzens : Yeah. This is Sofie from JPMorgan. Thanks for taking my question. So, could you just explain that the difference between your reported net interest income which was €10.5 billion on the underlying €10.7 billion. What explains the €200 million delta? And are there any more one-offs in an interest income that we should be aware of I mean, in the short-term? And then, the second question would be on the capital headwinds you mentioned that you're expected to remain above 12%, but could you just outlined what capital or core equity Tier 1 headwinds you're expecting in the coming quarters or at least on the year-end. And also, if you could remind us what the Basel IV impacts are? Thank you. 
Hector Grisi: Okay. Thank you. So, Jose will explain you the NII evolution. On capital, let me reiterate exactly what I said and then Jose and can expand a little bit. So, as I told you we expect to generate at least ten basis points of organic capital on average per quarter, okay? And that is included with the current remuneration policy that we have, okay? So, as a result, what I told you we will be on track to meet our target to be above 12%. Also with the final implementation of Basel III comes into effect in 2025 to be precise on that point. Jose will comment a little bit more on that and explain you the NII evolution. 
Jose Garcia-Cantera : Yeah. So, Sofie. Hi, good morning. As I said, we don't expect any headwinds significant headwinds from any of the three big components that could affect capital regulatory or supervisory charges, inorganic charges or other charges basically market-related pensions, intangibles, we don't see significant headwinds in the second half of the year.  In terms of BASEL III, we have seen the proposal. It’s still a proposal. So we need to wait to see exactly how is - how the regulation is approved. We still think we will have an impact of between 40 to 60 basis points, probably and again depending on how this is finally written, probably towards the lower end of that range, if things are confirmed when the final proposal is approved.  In terms of the accounting, well, I think Investor Relations will give you more details about - this is pretty detailed. But in the first half, there is no impact or no adjustments between net interest income statutory and underlying zero. What happened in the first quarter is, we had an positive adjustment of €211 million and we have reversed exactly the same amount in the second quarter, which by the way in terms of the €20 billion, it's a very small amount.  So, no adjustments to NII in the first half. What we added to underlying in the first quarter was reversed in the second quarter. There are other adjustments in the P&L, but basically netting out in most cases will happen in the first quarter in the second quarter. But Investor Relations will give you all the details line-by-line of the differences between the first and the second quarter. Thanks Sofie.
Begona Morenes : Thank you, Sofie. Can we have the next question, please? 
Operator: Next question from Marta Sánchez Romero from Citi. Please go ahead. 
Marta Sánchez Romero : Thank you very much. My first question is on the digital bank. Could you please provide an update on your strategy for gathering deposits here. You've raised possibly €3.4 billion year-to-date, but seems a bit below what you had planned a few months ago. And also possibly, you are trying at 200%. So how much more deposit do you expect to get? And where do you feel like you need to put rates in order to be - to be more successful in Northern Europe and Germany?  The second question is a follow-up on mortgages in the UK? You are shrinking pretty fast for €1 billion per quarter. When do you expect to stabilize that book? Thank you. 
Hector Grisi: Thank you, Marta. Okay, on the study the open bank is quite clear. Okay. And we just don't have open bank as the only vehicle to raise deposits. We have some other vehicles also. We are having some of the other different countries, okay? We believe that strategy is right? And the one that we manage at open bank is going along to our expectations and we believe that we are going to continue to manage that accordingly. Okay?  And in the some other different initiatives that we have, for example in Germany and some other places, the study has been proving very successful and we don't believe we need to basically continue raising rates depending on what the market reacts to it. Okay? So we're going to be moving it according to the market.  In terms of mortgages in the UK, I was very specific about what we're thinking in terms of profitability, okay? And the way we're managing the portfolio. First of all, we've been very cautious in the way we manage and our risk appetite is being very prudent in the way we’re managing the UK, okay? If we see that there is a change of how we see the market, then we'll adjust at the point. But right now, we’re concentrated in the two things I told you. First of all, profitability and being cautious on the risk appetite there. If we see one of these changes, then we will adjust in any way. I don't know Jose, do you like to comment a little bit more? 
Jose Garcia-Cantera : In the digital consumer bank, now includes open bank. We have €60 billion in deposits, like you said. And I think we obviously manage that to maximize profitability. So it's not only a question of the amount of deposits, but the question is, managing the margins in a business that has negative sensitivity to rates. And I think we've been very successful if you compared these figures to what it was a couple of years ago and you look at margins and interest rate sensitivity management, I think you have to look at a whole picture and I think we've been very successful in managing interest rate sensitivity in a business that is naturally – that has naturally negative sensitivity to raising rates. Thanks Marta. 
Begona Morenes : Thank you, Marta. Can we have the next question, please? 
Operator: Next question from Andrea Filtri from Mediobanca. Please go ahead. 
Andrea Filtri : Yes. I wanted to get more clarity in basically in page so to speak of [Indiscernible] going to the different geographies and particularly you've given a lot of detail on NII in a lot of countries. Can you do the same for Brazil please? And the second question is on Spain. And if you could split the drivers of NII there between the effect of increasing interest rates of deposit beta and the ALCO portfolio contribution? Thank you. 
Hector Grisi: Okay. Thank you, Andrea. Let me explain a little bit, the NII in Brazil, and then Jose will give you the details of the drivers of NII and the betas in Spain, okay? Yeah, in Spain. So to start, I mean, Brazil NII, okay, performance in the recent quarter has explained first of all on loans in 2021 I have been very specific on that. We have become very much conservative and we have changed the mix, okay?  And we have grown volume selectively, okay, changing the loan mix the low mix – the loan mix to lower risk on deposits, okay. The fast increasing rates, means a rapid rise in the cost of deposits, okay. We expect NII in the second half of ‘23 to be higher than in the first half of the year leading to a flat NII in the year with a substantial improvement in ’24, okay? If we see that the rates basically start to come down because it's very important to understand that Brazil has negative sensitivity to the, we should gain traction. And we maintain, we're going to maintain our cautious stance, but we believe that we can go back to the market, okay? And we believe that the functional rates could fall in the second half, bringing the cost down in retail funding, okay?  And then in the drivers of NII in Spain and Jose will give you more details. Spain is one of the countries that has benefited most from the higher rates, okay? We will continue to see strong growth in clients. Just in the first half of the year we have 300,000 more active clients, okay? NII in Spain is up around 57% in the first half of the year and 60% just alone this second quarter is mostly supported by the pricing of the loan portfolio.  The height yields and remain contained on the cost of deposits. So, we have been managing very well in that sense. We expect double-digit growth for NII in 2023 and regarding the peak of NII in Spain, there are several things to consider that Jose will explain you as this will continue to reprice at least during the first half of ’24, clients which we expect will continue to grow and betas, which will be key. We're still seeing a rational competition with low betas for individuals in a system which remains highly liquid, okay? So as of today, we don't speak much higher remuneration on the foreseeable future. 
Jose Garcia-Cantera : So, hi Andrea. The ALCO in Spain we have €27 billion ALCO, €21 billion is a structural long-term held to collect with an average maturity of - duration of 7.7 years on a yield of 3.3%, 3.4%. And then we have €6 billion which is more associated with short-term liquidity management average duration of 1.2 years and yields slightly below at 3%.  We expect to continue increasing the amount of the ALCO portfolio in Spain to gradually reposition the balance sheet towards a lower positive sensitivity because as interest rates start reaching a peak, we don't want to run a balance sheet with such huge positive sensitivity to rates. So one way of doing that is not the only we are also taking other measures, but one way is obviously increasing the ALCO portfolio.  In terms of betas, the beta for deposits in Spain is 17.8%. If we exclude CIB, by the way this is three percentage points higher than in the first quarter. If we exclude CIB, the beta is 9.5%. The beta in CIB is around 60%. So I think I've given you all the numbers to figure out exactly how we see the betas and the NII going forward. Thanks. 
Begona Morenes : Thank you Andrea. Can we have the next question, please? 
Operator: Next question from Britta Schmidt from Autonomous. Please go ahead. 
Britta Schmidt : Yeah, hi there. Thanks for taking my question. Could you give a bit more color on the NII increase, the absolute NII increase in Spain Q-on-Q? The customer spread was up less in the previous quarter, but NII was up a lot more? And then, secondly, you could also update us on the net interest income sensitivity in Brazil over one year and two years? And lastly on the €500 million rate benefits that you see more so than previously. Can you give us an idea as to where you see them and how much of that has been recognized in the current runrate? Thank you. 
Hector Grisi: Okay. So let me go backwards here. Yeah, in the first half, the sensitivity was more or less €500 million higher than what we - the guidance we gave in - at the Investor Day. We would expect more or less a similar amount in the second half in Euros. So, we - relative to the figures, we gave at Investor Day, the interest rate sensitivity in Euros due to the fact that obviously rates are higher and we are seeing better betas remember that the betas we use to give that sensitivity at Investor Day in Euros were around 30%. We are below 20% right now and it's already half of the year. So we would expect another €500 million more in the second half over €1 billion higher than what we mentioned at Investor Day.  NII sensitivity in Brazil I'm going to give you the rest of the currencies, as well. So if today, we had a 100 basis points parallel shift upwards, we would make €1.1 billion, €1.2 billion more in Euros. €250 million, more in the UK, flat slightly negative in the US and €100 million less in Brazil.  I think we gave you all the details to understand the NII sensitivity in Spain, but we can take it offline and if you wanted, you know, more detail analysis, but I think we gave you all the details. I give you the composition of the balance sheet by repricing on the asset side. So I think that's sufficient, I think, but we will take it, we will take it offline. 
Begona Morenes : Thank you, Britta. Can we have the next question please? 
Operator: The next question is from Carlos Cobo Catena from Societe Generale. Please go ahead. 
Carlos Cobo Catena : Hi. Thank you very much for taking my questions. Just a quick follow up for NIM capital. You mentioned the finance impact, could you please quantify that in terms of stock and one single specific impact on risk-weighted assets just to clear that out from other impacts? Thank you. 
Hector Grisi: Okay. So, the stock finance is seasonal. It tends to go up in December, which is the peak in the year, then it goes down in March, goes up a little bit in June and then same in September to peak again in the December. This year, the increase in June was higher than we expected. We are talking around €6 billion in total risk-weighted assets from stock financein the first half. 
Begona Morenes : Thank you, Carlos. Can we have, what I believe is the last question please. [Operator Instructions] Thank you. 
Operator: Next question Fernando Gil de Santivañes from Bestinver. Please go ahead. 
Fernando Gil de Santivañes : All right, thank you for taking my question. Two questions please. One is on Poland. What we expect in terms of mortgage provisions related to these funds going forward at least you can comment on the average and this was helping out. And a second one is on average rate growth I am looking at your key figures and Poland figures I am looking at loans – loan growth and FX impacts and it seems like part of the result increase in – and if you can comment on why it’s happening there and those would be changing? Thank you very much.
Hector Grisi: Okay, so Fernando, what you said at the beginning was mortgage provisions in Poland? Yeah. Okay. So, Fernando, let me tell you exactly how we are in Poland, okay, up to today, okay? And with the extra that we did, okay, we believe that is completely adequate. Okay, we're talking about that in the blended provisions that we have we are provisioned up to 58%, okay, of the outstanding that we have, okay and we believe that's enough to sustain exactly what needs to be done over there given the dynamics that we have seen in the market, and if you basically changing towards lot these when the these mortgages just started be about there, okay?  So I believe that we're at the right point and we believe the provisions at this level is completely adequate, okay?  On the second, I will have Jose give you the answer. Thank you. 
Jose Garcia-Cantera : No, as I explained, loan growth year-on-year was zero. Risk-weighted assets increased 2%, half of which is FX and I can’t take you through the composition of risk-weighted assets by country. But half of the risk-weighted asset inflation has to do with FX. Of the other half, we had some positives and negatives. As I said, we have contraction in the UK. We have contraction in terms of risk-weighted assets ex stock finance in auto, a slight contraction in Europe. And then we have the contraction in Europe and also risk-weighted asset growth both in ex FX in Mexico and in Brazil. 
Begona Morenes : Thank you Fernando. I'm unclear if there are any further questions?
Operator: We have a question from the line of Ignacio Cerezo from UBS. Please go ahead. 
Ignacio Cerezo - UBS: Yeah. Hi, good morning. Sorry, it’s just a quick follow-up on Brazil. If you can give us a little bit more color or at least ballpark magnitude of the substantial growth of NII you are expecting in ‘24 and the sensitivity to rates, Jose was mentioning so I guess, it’s probably around yeah 1% for 100 basis points decline. So, just trying to understand basically, I guess, what kind of magnitude in terms of acceleration of NII you are expecting next year in Brazil. Thank you. 
Jose Garcia-Cantera : Okay. Thank you, Ignacio. I will answer the first part of the question and then Jose you will help me out with the rest, okay? This is sensitivity. What I told you is that, we believe that the worst is over in Brazil. Okay, and we're starting to see a little bit more growth in the portfolio. Okay. So we're changing that around.  We're starting to basically go back to the open market, which, you know, in ‘21 we decided basically to come out of it, given the what we saw in the core environment, okay. So at this point, we believe that Brazil is going to be able to turn around and also we see that the rates are going to be helping us out because we believe that the rate in August should start coming down.  So in that sense, we don't know exactly how the trends are going to work. But we see that is - this is coming much better than we expect okay. And we see that we're going to end up the year basically flattish to where we started, okay. 
Jose Garcia-Cantera : So, hi, Ignacio. We Believe interest rates in Brazil will start coming down in August. They are at 13.75 our central scenario is for rates during the year at around 12, twelve and a quarter and then probably below 10 by the end of next year. So NII, when you look at sequentially quarter-on-quarter, NII probably will be flattish in the third, but it should increase in the fourth and more so into next year and the exact sensitivity, I mentioned the sensitivity to higher rates, but the sensitivity in Brazil to a 100 basis point.  But it is a parallel shift I insist the parallel shift, which is not what will happen probably because we are what we will see is lower rates in the short end of the curve, but flattish in the long end of the curve. But through a parallel shift, a drop in 100 basis points will generate €140 million higher revenue in Brazil. Thank you Ignacio.
Begona Morenes : Thank you, Ignacio. I believe there are no further the questions. So thank you everybody, for your attendance and the Investor Relations team is at your disposal for any other questions that you may have. Thank you very much.